Operator: Good morning and thank you for waiting. We would like to welcome everyone to AmBev's Fourth Quarter and Full-year 2016 Results Conference Call. Today with us, we have Mr. Bernardo Paiva, CEO for AmBev; and Mr. Ricardo Rittes CFO and Investor Relation Officer. We would like to inform you that this event is being recorded and all participants will be in listen-only mode during the company's presentation. After AmBev's remarks are completed, there will be a question-and-answer session. At that time, further instructions will be given. [Operator Instructions] Before proceeding, let me mention that forward-looking statements are being made under the Safe Harbor of the Securities Litigation Reform Act of 1996. Forward-looking statements are based on the beliefs and assumptions of AmBev's management and on information currently available to the company. They involve risks, uncertainties and assumptions because they relate to future events and, therefore, depend on circumstances that may or may not occur in the future. Investors should understand that general economic conditions, industry conditions and other operating factors could also affect the future results of AmBev and could cause results to differ materially from those expressed in such forward-looking statements. I would also like to remind everyone that, as usual, the percentage changes that will be discussed during today's call are both organic and normalized in nature, and unless otherwise stated, percentage changes refer to comparisons with Q4 2015 or full-year 2015 results. Normalized figures refer to the performance measures before exceptional items, which are either income or expenses that do not occur regularly as part of AmBev's normal activities. As normalized figures are non-GAAP measures, the company discloses the consolidated profit, EPS, EBIT and EBITDA on a fully reported basis in the earnings release. Now I'll turn the conference over to Mr. Ricardo Rittes, CFO and Investor Relations Officer. Mr. Rittes, you may begin your conference.
Ricardo Rittes: Hello everyone, thank you for joining our 2016 fourth quarter and full-year earnings call. I will now guide you through operational highlights of Brazil, CAC, LAS, and Canada, including our below-the-line items and cash flow. And after that, Bernardo will give you more details about our performance in Brazil and how we are positioning ourselves for the year to come. Starting with the main highlights of our consolidated results. 2016 proved to be one of the most challenging years of our history. As solid growth in our international operation was offset by a negative performance in Brazil on a consolidated basis. Top-line was up 0.4% in the quarter and the full-year. Top-line was up 1.9% with volume decline of 5.8% more than offset by a net revenue for the growth of 8.3%. EBITDA was down 12.1% in the quarter and 6.9% in the full-year reaching 19.5 with an EBITDA margin of 42.7%. Net profit was up 13.5% in the quarter while on a normalized basis net profit was down 15.9%. In the full-year net profit was 1.6% while adjusted by exceptional items net profit was down 9.7%. The difference between reported and normalized profit is driven by the swap of assets carried out with ADI person to each of a greater transfer our businesses in Columbia, in exchange for the Panama business originally owned by transaction when accounted for using the proceeding value for the Panama asset and the cost value for that ADI resulted in our 1.2 BNRI non-cash gain. In Brazil, our EBITDA was down 19.7% in the full-year. We are nothing but disappointed with our performance but it is important to understand the main drivers that have impacted our full-year results. The first one is connected to the adverse micro economic scenario in Brazil. Economic activity reduced for the second consecutive year with unemployment rate peaking the higher rate recorded in year leading to the continuous decline of disposable income into the environment we also lost 120 basis points of market share for beer from 67.5% in 2015 to 66.3% in 2016. The second one is that in the first quarter of 2016 we are subject to increase in some states putting additional pressure on our top-line. And the third one is related to the temporary impact of the FX in our cash COG. As we are very systematic with our hedging policy it is the -- of Brazil in the second half of 2015 when the Brazil, depreciated cost 60% year-over-year has inflated our cost in the second half of the 2016. Now going to more detail of operational results in Brazil. CSD & NANC top-line was now 11.5% in the quarter and 5.7% in the full-year. Our beer volumes were down 7.3% in the quarter and 6.6% in the full-year given the challenging macroeconomic environment. Our total market share for the year according to Neil was 66.3% versus 67.5% 2015. That revenue [Indiscernible] in beer was up 4.6% in the quarter as we had hard comparable in the fourth quarter of 2015 while on a sequential basis it was up 17.3% driven our revenue management initiative implemented during the quarter in the full-year. Net revenue per hectoliter was up 1.1% mainly impacted by tax increase in addition as part of our revenue management strategy we use along the year our -- tax and brand to achieve more attractive consumer price including 300 returnable borrows that accounted for 23% of our volume in supermarket in 2016. Now talking about Brazil CSD & NANC. The top-line was up 1.7% in the quarter and down 2.7% in the full-year. Volumes decline 6.7% in the quarter and 6% in the full-year evaluating industry as we estimate. As the adverse consumer environment is temporarily driving consumers away from CSD to low cost powdered juices or even to tap water. Net revenue per hectoliter was up 9% in the quarter and 3.5% in the full-year driven by our price management initiative, our market share according to NANC was 18.8%. Our Brazil cash COG per hectoliter and cash COG increase respectively 20% and 11.5% in the quarter. In the full-year cash COG per hectoliter was up 15.4% and cash COG increase by 7.9% in line with our guidance of mid to high single digit growth. The main driver for this performance was temporary impact of effects partially offset by the benefit of RBGs coupled with a continuous evolution of our cost initiative. Brazil cash SG&A was up 2.2% in the quarter. In the full-year cash SG&A was up 3.5% which while below inflation is in the upper limit of our guidance due to mid single digit logistic cost increase, increase of administrative cost by low double digit and high single digit increase in sales and marketing expense as we continue to invest in our brand. As a result Brazil dollar jumped 30.8% in the quarter and 19.7% in the full-year. Bernardo would expand on this topic and discuss how we are positioned ourselves for 2017. Now moving to Central America and the Caribbean. In CAC we delivered another solid year. Our performance in the region was driven by double-digit top-line growth with a good balance between volume and revenue management. Going to more details, in the fourth quarter EBITDA in the region increased by 25.4% reaching BRL398 mainly driven by net revenue growth of 8.9% in the full-year top-line was up 14% leading to an EBITDA of BRL1.4 an increase of 21.3% with a margin expansion of 120 basis points to 37.3%. While, the quarter volumes increased by 6.2% in the full-year mainly driven by the Dominican Republic where we were able to significantly increase the {indiscernible] reaching our highest ever share of -- and Guatemala where we have another year of market share gains with the strong performance of our Mexican brand let by Corona that grew double digit in the year. Going forward we continue to side of top-line and EBITDA growth potential for our current operations and other non-organic opportunities including Panama that became part of CAG as of December 31, 2016 pushing us closer to our dream of $1 billion EBITDA in the region. In the America, in the quarter top-line was up 19.3% and EBITDA grew 27.6% in the full year top-line increased by 15.8% and EBITDA by 20.6%. Volumes were down 2.8% in the quarter and 8.3% in the full-year as the weakness in Argentina given the diverse micro economic environment was partially offset by strong performance in number one Bolivia, driven by 710 M.L returnable glass bottle {indiscernible] and with the marketing improvement. Number two, Paraguay with the successful rollout of our 340 M.L returnable glass bottle and the premium growth led by Corona -- and finally Chile with strong performance of our global brand in the country. Top-line benefited from solid net revenue performance due to higher rate of our premier beer volumes and implementation of our revenue management strategy. We used cost and expense were two -- for high inflation and currency movement specially in Argentina. We are able to offset these impacts through top-line growth delivering our margin expansion in the quarter of 320 basis points to 48.4% and in the full-year of 80 basis points to 44.1%. As we move forward we remain confident in our ability to deliver solid top-line in the region in the short term and better position ourselves for the future. Turning now to Canada. In the quarter EBITDA in Canada increased by 3.2% reaching for BRL191 as the organic top-line decline up 0.5% was offset by lower cost driven margin expansion of 140 basis points. In the full year our top-line was up 0.7% and EBITDA declined 0.8% organically while increased 3% in local current when included our strategic brands of the fast growing craft segment. Such as [indiscernible] volumes grew 5.7% in the full-year mainly driven by the benefit of our recent acquisition helped us achieve the highest market share figure in 17 years. Organic volumes were down 1.2% impacted by unfavorable weather partially offset by strong performance for number one, Bud Light in the segment as the fastest growing brand in Canada in 2016 and in the high end reaching its highest share ever in the fourth quarter. Throughout the year we remain focused on pursuing an optimal balance between volume and price with our revenue management initiative and the benefit of increased premier mix 2.3% net revenue per liter growth in the fourth quarter and 1.8% growth in the full-year. Going forward we are very excited with our moment in Canada with our complete portfolio and committed to continue to balance net revenue per liter and market share to deliver profitable growth. Now moving to other operating income. Other operating income totaled BRL158 in the quarter versus BRL701 of last year. Mainly driven by the reduction of [indiscernible] in Brazil from BRL530 to BRL196 due to number one, volume decline and revenue geographic mix as we have different incentives in different plants around Brazil and number two, expiration of government grants agreements that represent around 25% of the reduction in this line. In the full-year other operating income totaled BRL1.2 versus BRL1.9 of last year. Also mainly explained by the decline of government grants as a result of low volumes and revenue geographic mix. Now to EBITDA. In the fourth quarter we started to revert a negative trends in this quarter as our net financial results decline almost 20% year-over-year, on BRL1.1 million in the fourth quarter 2015 to BRL908 million in the fourth quarter of 2016. Going to more details. Main item in the financial expense in the quarter were: First, interest income of BRL86 million driven by our cash balance mainly in Brazil Real, US dollars and Canadian dollars. Second, and expense of BRL416 million due to interest expense. Goes 40% of this is a non-cash accrual related to the put option associated with our investment into Dominican Republic. As part of the CND deal in 2012 A put option exercise qo into 2019 was issued which may result in an acquisition by AmBev's of the remaining shares of CND. For a value base on EBITDA multiple these noncash accrue expenses, increases over time as we approach 2019 as EBITDA grow among other factors. Third, BRL292 million losses on derivative instruments, mainly driven by the carry cost of our FX had primarily linked to our cargo exporter in Brazil and Argentina. Given the interest rate differential between Brazilian real or Argentine Peso's to the US Dollars. We have financial costs associated to these hatches, which are called Carry costs. Carry costs has started to go down mainly due to the reverse of the Brazilian Real. It's clear and or Argentine Peso appreciates our interest rates in this count has continued to go down. Carry costs are expected to decline even further. Fourth. Non-derivative gains and losses have been another source of volatility in our net financial results, as most of the results including design are related to FX translation. As we benefitted from the DI appreciation in the quarter, we had a gain of BRL220 million in this line. Fifth. For BRL101 million of order financial expenses mainly driven by interest on contingency in the full year. That financial results totaled BRL3.7 billion mainly driven by underline interest expenses which include the put option of our investment into Dominican Republic of around BRL600 million and losses on derivative instruments. The FX tax rate in the quarter was 9.9% versus 28.3% last year. In the full-year, the effective tax rate was 2.4% mainly driven by gains on audit tax adjustments reported in the third quarter of which. First, around BRL400 million is explained by reversion of a withholding tax provision related to unremitted earnings from Argentina as of July 23rd 2016 and new legislation Argentina was enacted revoking the levy of withholding tax over the remittance that was created in 2013. And second goes to BRL800 million driven by a onetime impact in the third quarter of '16 on the recognition of differed tax assets on care losses related to international subsidiaries. From a cash flow perspective, in the fourth quarter, cash flow from operating activity before changing our chapter was BRL6.1 billion. We continue to revert the negative cash impact from working capital seen in the first and second quarters, generating almost BRL1.8 billion for working capital. In the full-year, cash generated from operations reached BRL17.7 billion in CapEx totaled BRL4.1 billion. With CapEx in Brazil declining 35% year-over-year to BRL2.0 billion in line with our guidance. Finally, during 2016 we turn at approximately BRL10 billion to equity holders in dividends and interest among capital. This figure does not include the dividend payment of approximately BRL1.1 billion announced on December 22nd but made only in February 23rd 2017. As a free cash flow generation continued to grow sequential in the year 2016, we also continue to return the excess cash to shareholders. Thank you, very much. I will now move to Bernardo before going to Q&A.
Bernardo Paiva: Thank you, Ricardo. Hello, everyone. We've been through a tough year especially in Brazil where as stated by Ricardo, three main drivers have impacted our results. One, the external conditions are very challenged with a volatile political and economic macro environment and negative disposal income leading to the industry decline. Two, on top of the preceding industry, some states have significant increase this year too, despite of the in the strong mobilizations to qualify the higher taxation bring to recession instead of additional revenues for the state. Three, our cost was impacted by the fact especially in the second half of the year comprising our margin. We acknowledge that Brazil's long-term growth involves a vital skews of volatility and as the Brazilians are facing a very tough environment. With the measure of the foremost, these absolute and we are not pleased refer to any '16 results at all. With that in mind, I want to concentrate my comments in Brazil before we move to the Q&A. The theory is that support our long-term growth in Brazil as today, favorable demographics with reduction of regional disparities includes few more continued demand for innovative products and stronger end. Based on that, we made stricter investments in our business, hosting a five commercial product forms in a transformation away. That is we celebrate the core, our first and most -- platform. In the last two years, and the core was even high in our journal. And think that's in more time and resource to have the right in size to bring innovation and innovation to our mainstream brand. A good news is that some of the outputs of such initiative are started to hit the market as we speak. For instance, we are launching new VDI's for Isco and Brahma. Differentiating and the foresee the brands attribute. We are also improving our primary and secondary package, enhancing the brands quality perception. This innovation itself to implement in the end of 2016 and we see it's magnitude if you continue to be rolled out along 2017. For the results are rate positive. For example, as with consumers have shown that cause new visual brand identity has improved significantly its attributes of quality, drinkability and modernity. And it has also increased consumers interest in the brand purchase. To talk about score. Alright, easy to drink lager. They had don’t decide to say campaign has been during scarcity attribute some prop of the carefully crafted emotional connection of the brand with its core consumers. Score, also land our summer in can or bottlization causing the most important drink for us in Brazil such as Skol and savor, delivering great experience to which causes. Our complete through execution through above the line 3D digital media and increased activation has enabled score to more than 35 million people made in this can above the digits of its history. Now, talk about Brahma. Brahma is our classic lager, recognizing for its beer expertise and flavor. Brahma has a strong connection with its consumers who drink Brahma together with soccer in country music platform. Brazilians strong passion. Brahma is the sponsor of several country music events, such as dealer mix, Brazil, largest country music festival. Let's talk about platform. Brings regions proximity for the brand to see the sponsorship and discuss those program. Rumor spanning is also composed by Brahma, or getting the food and flavor needs the and we have three variants, lager, red lager and rice. Brahma is and has grown 250% definitely shaping the core plus fragment in the Brazilian market and enhancing the mother brand. Finally, on Antarctica. Antarctica is being strengthening its connection with Rio de Janeiro and with the Southern music. It just launched a novelty media company which more than 10 million people with lines A to Z series in YouTube. Antarctica was this official sponsor of the carnival region for the three consecutive time. Those who were there could see the strong press of the brand and the blue ocean. On top of being a strong regional brand, Antarctica has became aspiration in other region, such as the Mid-West of Brazil also becoming the number one brand in three states in this region. Over the course of 2017, our three mainstream brands and continue to leverage is strengthened the connection in the core palette consumers and support our topline growth. Moving to premium. Premiere has been growing and gaining weight over the years and in 2016, it was not different. Work is a complete portfolio of international to domestic brands. Premier rather presents more than 10% of our wine. Premier has also very high bracket way above its market share. Budweiser our main brand and has been delivering amazing results, it's more than too many percent in 2016, a double-digit score for the fifth consecutive year and consolidated position of the leading brand in the three main segment in Brazil. Budweiser's preference and brand, that's good, which is some simplicity, heritage and quality, are continuing trending. Now talk about Near Beer. Near Bear is right incremental volumes in a profitable way. One of the most successful visions in our history, continue to grow double-digit in 2016. We have lager liquid with its red bottle that together sends and spirit and rather represent more in 1% of our beer volume in Brazil. With massive presence in the key brand in fairly -- and the strong accusation during carnival, the who will try to beat them also enhance the equity of the mother brand. Moving to different location, is starting with the in-home. RGB's they are selling update focus this year. The returnable grass ball was boosted by the national campaign meaning everything that's good return. Turning to our core brands, and has an affordable preposition. They will represent a 22% of beer volumes in the supermarket in 2016. Going forward with a strong learning process we improve even more the execution and as a consequence we see the is for me is even more important and definitely change in consumers behavior. He's a huge chief with import application. As it's good for everyone and we put a drink, it's good for the environmental as well and good for mind. Finally, in the some occasion, we took the soft marker scenario as put to an enter a long-term sponsorship contract. Expand your acquisition and send. Along with that we are stepping up our root market initiatives, we assure an improved service level everywhere giving a strong platform to meet our brands even more agreeable in the point-of-sale with the best in class execution. In summary, 2016 has been the top here under the hand we took this morning as an opportunity to strength our foundations for the future and we meet stricter investment in our business. On top of that, is widely expected to be a year in which main marker had win. First, inflation continues to decelerate. Second, to repeat you're estimated to be flattish. As of two consecutive years of decline. Third, unemployment. What is still increasing expected to revert the trend in the [indiscernible]. Despite our income, it's likely to resume growth towards the end of the year. This environment we are cautiously optimist, in the Brazilian industry in 2017, especially for the second half of the year. Our commitment is long-term in nature and we are confident on our be to be market share and resume our topline and be the growth supported by such investments with me and recent years and by this strength of our brand. As part of our coach, our motivation to deliver beer has not changing. It has even increased, that said it's important to highlight that our market share for 2017 is increasing in a positive trend showing that we are in the right path. Along with that, we expect cash cost per hectoliter to positively evolve over 2017. Increasing the put in the first half and low-single digits to flattish in the second half, main explain by the impact of the devaluation of the Brazilian Real during the first half of 2016. We can move now to the Q&A. Thank you.
Operator: [Operator Instruction] The first question comes from [indiscernible] Bank of America. Please go ahead. Your line is open on our end. It is muted on yours.
Unidentified Analyst: Sure. Good morning everyone. Thank you for the call. I have two questions. First, you guys mentioned the expiration of some tax benefits impacted at the other operating income if you could tell us if you already able to renew those benefits or it's not if there is any expectation of doing that and second when we look at the guidance for 2017 you guys provided much less detail compared to what we saw in the previous years. If you could explain a rational of doing that because there is lower visibility at this point or for competitive reasons. Thank you.
Ricardo Rittes: Hi, this is Ricardo. Thank you for question. Well let me start with your second question. So, just as I start for that answer our guidance has varied along the years. So if you go back 2010 we had only COG, EBITDA. 2011 was COGs, volume and CapEx 2012 was COGs volume of Brazil, net revenue, CapEx so and so forth. So it varies across the years. We have not being like with the same guidance for a long period of time. For 2017, we decided we provide more qualitative guidance in the outlook session to limit the top-line numbers as only Brazilian beer market gave guidance over the course of 2016. Therefore driving to a symmetric competitive dynamic and this is the reason behind our the way we gave the guidance for 2017 and when we go to your first question discussing specific in the income it was down mainly driven by the reduction of the government grants like you said and this reduction essentially came for the two reasons, number one was the volume decline and the revenue geographic mix which explains 75% of the decline and expiration of government grants agreement that represents around 25%. We decided to give this break down in order for people to be able to separate and differentiate between what is consequence of the mix and the temporary impact and what has expired. With index expiration that's when you asked your question is can you renew it etcetera I just -- concession of government grants is primarily linked to CapEx and from time to time we may decide not to make this investment resulting a loss of efficiencies and tax incentives. So when you look at 2016 CapEx which was down 35% in Brazil year-over-year from BRL3.1 to BRL2.0 I think that's a driver that you need to take into consideration when projecting going forward. As you see Brazil accelerating CapEx increasing you could see difference in the…
Unidentified Analyst: Thank you.
Operator: The next question comes from Pedro Leduc with JP Morgan. Please go ahead.
Pedro Leduc: Good morning everybody. Thank you for taking the question and with regarding to pricing in Brazil do you - we saw sequential improvement I know about 17% or BRL284 per hectoliter this quarter. Now just trying to reconcile imagine how we can carry this figure into 2017 because there wouldn't be the mid to high single digit increase if you keep the 284 into the full average of 2017. so just help us understand, you already have the full pricing effects of 4Q then how much usually in 1Q is not sequentially not price per hectoliter drop if it this year it's going to be as substantial as it was in the last year, last 1Q and just trying to reconcile here how should we imagine pricing if we can carry this nice number into 2017. Thank you.
Ricardo Rittes: Hi Pedro. Thank you very much for your question. So like you said on a sequential basis, net revenue per hectoliter was up 17.3% and just to remind everyone that excise tax expiration impact consumers but even a fully compensated buy would not impact net revenue per hectoliter and therefore as a result net revenue per hectoliter is a good proxy of price increase net of tax increases if you will. As a consequence the longer it appear the better or more precise is the visibility of the net revenue per hectoliter as a result you should expect some volatility in that line. For instance, if we go five for example sorry, five years our net revenue per hectoliter has increased in line with inflation despite of short term volatility. Having said that we continue to be confident of our strategy to increase our price in line with inflation and for that I think just to develop a little bit on that I think first it's very important most important for us to give strong brand and this is the key to ensure the profitability of our business and that's why our first commercial platform is [indiscernible]. Second along the time we have improved a lot of revenue management strategy initiative mainly through technology and price strategy allowing us to capture also significant net revenue per hectoliter opportunity. And third when you look going forward I think it's very important to take into consideration premium end year, as they continue to grow driving a positive mix impact on the other hand the growth of returnable glass bottle presents the challenge for the future when you look only as net revenue per hectoliter in the perspective although they are margin accretive and they are good for business.
Pedro Leduc: Okay. Ricardo thank you and then just again back of to 2017 should we expect this figure growing in line with inflation again or you still expect another shift mix and returnables just to get some color. Thank you.
Ricardo Rittes: The type of guidance that we are giving like we said in the guidance the discussion previously is a bit of a more qualitative guidance we are not guidance _ quarter-by-quarter basis but the drivers behind the volatility in that line _ so we continue to be confident about our strategy to increase our price _ inflation _ and the shorter the period of time that you look you see like I have seen in the past some volatility in the line _ out of this extraordinary and it continue to be very confident about this strategy.
Pedro Leduc: Thank you. That helps.
Operator: The next question comes from Luca Cipiccia with Goldman Sachs. Please go ahead.
Luca Cipiccia: Hi, good morning thanks for taking my question. I wanted to ask two, one as more of a clarification on the returnable penetration. I think in the third quarter you said it was 25% and I think in the release I think it's 23. I was wondering if it is just function of seasonality or am I interpreting this incorrectly and more generally can you update us on not necessarily your push into this format but how consumer reception adaption is evolving and how much you think it will stick assuming that eventually as you _ well the consumer will recall it and that's my first question and then the second very quickly just going back on the guidance we sort of got used to the idea that you preferred to talk about the things that you can control and you expressed that lot in the past I am not sure I follow the rational to not give indication about both SG&A and CapEx which I think in the past were fairly discretionary items for you to decide on how to spend on how to invest in any given year and on the CapEx and _ about are there before is it fair then to assume that as a percentage of revenue _ other income should - we should probably _ to what we saw in the first quarter given some benefits are expiring and some others are more _ long growth and CapEx but I would assume CapEx is not going to go up this year. So maybe if you can clarify a little bit on this point it will be great.
Bernardo Paiva: Hi Luca. I think the _ and important to highlight RBG became from 4% in the _ 2014 to 23 _ supermarket in 2016. So no doubt there is a great success. I mean it's good for everyone to always talk I mean people to drink, good for environment, good for margins as well. On top of that _ have shown that diminish have increased _ royalty among their buyers with positive impact on brand attributes such as flavor, eco-friendly, and cost benefit proposal. It has also improved the perception of heritage of the brand due to the _ having said that going forward as we improve the execution we see _ become even more important that may change the consumer habit. And quarter-by-quarter this could vary but the main number is as you came from in 2014 4% to 22% in 2016 and trending up. So I think that's right path with this strategy.
Ricardo Rittes: And Luca this is Ricardo. And also to add to what Bernardo just said the 25% was a number _ third quarter and 23% is the average number for the full-year as it has been growing from average of 14% in 2015 you could expect that the average for the year tends to be in growing pattern a little bit lower than the end of the year. I think that's - I think that might help you in your calculation. And _ specific to the guidance I mean when you look at historically _ and you are right _ prefer to give guidance number one on _ control and number two on things that we not allow _ competitive dynamic. I think those are two important criteria but if you go back to the _ I am hear with the guidance for the last seven years of the company we gave guidance on SG&A only _ seven years and prior to 20 - and I don't think we gave guidance at all. I think going back to our discussion that we had in the first question 2017 we decided that why _ provide a little bit of more qualitative guidance in the outlook session which might help you come to the conclusion some of those that you ask in the question we decided to limit the top-line and some of the like you said even CapEx and SG&A quantitative numbers provided. Again I think that's --.
Luca Cipiccia: And maybe just to quantify on the SG&A, on the stated ambition to rebuild market share, what role do you think investments in the brands comparatively to last year will take. I think that's going to impact I think the line in particular is that you said you want to go back, you want to rebuild market share. I think there has been a positive trend, how much of that you think would come from investments in SG&A how much of that you think will be more sort of a price driven or mix driven strategy?
Ricardo Rittes: So, I mean just to provide you some assurances, there is not going to be anything different than what we have done in the past couple of years. So, we shouldn't expect any surprise. And I think when you look at market share for example, the only publicly available source to measure our market share in the full-year of 2016 is using as we thought we're distinguishing in December 13. Therefore, we according to news, our market share was down below the range that we normally work to 66.2% in the average of the year. But as Bernardo pointed out in the growing trends, and it's important in terms of answer your question specifically about SG&A, that one of the cornerstones of our strategy the cost connect wind platform like we kept internally and even externally. And in this platform, I think control of cost and controlling expense is not a problem, is not something that is temporary here. It's a way of doing business and we try to be more efficient every year and every day on average everything that we do internal SG&A is not different.
Bernardo Paiva: And let me add to that Luca, these are our marketing and sales team, have been two kits to deal brands in a way that doesn't mean necessary more investment but way more efficient and the way more precise. That's what we have been doing in the last few years and then we applying this year as we speak.
Luca Cipiccia: Thank you. Thank you very much.
Bernardo Paiva: Thank you.
Operator: The next question comes from Antonio Gonzalez with Credit Suisse. Please go ahead.
Antonio Gonzalez: Hi. Good morning Bernardo and Ricardo. Thank you, for taking my question. The first one is a follow-up on Luca's last question. I was also curious about the wording that you used in the outlook for 2017 with respect to market share in particular. I think you didn't use the market share metric in the last few years in terms of your guidance and I wanted to ask in light of the changes in the consolidation that is taking place in the industry. Do you think it makes sense to have a higher range for example and if so would you be willing to pursue market share even if it comes with lower EBITDA margin, I mean more EBITDA in nominal terms with lower EBITDA margin or that is not the case? And then I have a very quick follow-up question afterwards.
Ricardo Rittes: Antonio, thank you for your question. So, I mean let me just clarify that. I think what we have done in the past 6% 7% 6% 9% is the optimal point in which us managing the complement to maximize value for the shareholders. I think that is the objective. Market share of course is a sustainable and long term way of getting there. And I think what we meant here in our Luca's section is the saying that we have always talked about. We work on that on a range but from time-to-time we are up or down within that range. If you go back to five, six years ago, you see that we were like way ahead of the range that we set ourselves and then we used that over time. I think we have we wanted to put it there like our discomfort and being below the range and that using the same platform to cross-connecting and the commercial platforms we will work very hard to go back to the range as soon as possible.
Bernardo Paiva: And added to that, you see it's important to highlight that we started in 2017 as I explained in my speech with the market share increasing, I mean a post this trend, so just to add some flavor, we transform.
Antonio Gonzalez: Alright. And secondly if I may, the total distribution of decent plus IOC obviously this year was little bit lower compared to the previous 12 months and I obviously understand that we casted with a cash and duration that was lower this year, etcetera. And but I wanted to ask you get growth again and obviously working capital dynamics become more favorable as the company grows and I don't know CapEx will come back to let's say 2015 levels very rapidly or not but do you see room to increase this figure from the last 12 months and maybe even have a little bit more of an aggressive balance sheet structure or difficult to give some color on these specific number for the next 12 months or so?
Ricardo Rittes: Thank you for the question. I think just a couple of points there, during 2016, we turn approximately turn below as equity holders. Like you said that was a little bit lower than that of 2015. And our policy for some time has been to return excess cash to shareholders and have done that and if you go little bit back like ------- 69 still the range? Or over the medium-term, I understand that 2017 has obviously be a little good. Over the medium-term, do you think it makes sense to have a higher range for example and if so would you be willing to pursue market share even if it comes with lower EBITDA margin, I mean more EBITDA in nominal terms with lower EBITDA margin or that is not the case? And then I have a very quick follow-up question afterwards.
Ricardo Rittes: Antonio, thank you for your question. So, I mean let me just clarify that. I think what we have done in the past 6% 7% 6% 9% is the optimal point in which us managing the complement to maximize value for the shareholders. I think that is the objective. Market share of course is a sustainable and long term way of getting there. And I think what we meant here in our Luca's section is the saying that we have always talked about. We work on that on a range but from time-to-time we are up or down within that range. If you go back to five, six years ago, you see that we were like way ahead of the range that we set ourselves and then we used that over time. I think we have we wanted to put it there like our discomfort and being below the range and that using the same platform to cross-connecting and the commercial platforms we will work very hard to go back to the range as soon as possible.
Bernardo Paiva: And added to that, you see it's important to highlight that we started in 2017 as I explained in my speech with the market share increasing, I mean a post this trend, so just to add some flavor, we transform.
Antonio Gonzalez: Alright. And secondly if I may, the total distribution of decent plus IOC obviously this year was little bit lower compared to the previous 12 months and I obviously understand that we casted with a cash and duration that was lower this year, etcetera. And but I wanted to ask you get growth again and obviously working capital dynamics become more favorable as the company grows and I don't know CapEx will come back to let's say 2015 levels very rapidly or not but do you see room to increase this figure from the last 12 months and maybe even have a little bit more of an aggressive balance sheet structure or difficult to give some color on these specific number for the next 12 months or so?
Ricardo Rittes: Thank you for the question. I think just a couple of points there, during 2016, we turn approximately turn below as equity holders. Like you said that was a little bit lower than that of 2015. And our policy for some time has been to return excess cash to shareholders and have done that and if you go little bit back like three, four, five years you see that our -- has more than doubled in that period. While you if you look at how the year progress or evolve over the course of 2016 has increased and why is that because when you look in terms of cash flow there is specifically a normal cash flow in the tax line in the first quarter and that's like we said in the first quarter results 2016 that was diluted overtime and so there is only shorter period of time that you look at that line the harder it is to reconcile but that impacted the full-year cash flow generation for the year when you analyze. Without giving any guidance in terms of pay out I think what you should expect what we have done in the past is that we doubt that impact you will get to that we use our strong cash flow generation which number one is reinvesting the organic growth of our business which we already discussed some of the use of cash for that purpose to invest in the organic growth of our business which we have already also some of the opportunities and then returned excess cash to our shareholders which we have been doing consistently over time so again that's as far as we can go to answer your question.
Operator: The next question comes from Lauren Torres with UBS. Please go ahead.
Lauren Torres: Yes. Hi everyone. I think you started the call mentioning that this was your most more challenging years in Brazil, but obviously you had volatile conditions before. I guess I am asking you to look at the past to predict the future and as we think about trends and the consumer hopefully stabilizing and coming back for maybe particularly in the second half of this year. I was just curious to get your perspective is there a lack of effect on returns are better here and softer in growth meaning the consumer may feel better but the categories that you participate in and take longer to kind of comeback just curious to get your perspective on that. Just is this more really 2018 event or just a easier comp feel better about year two, just general perspective would be great. Thank you.
Bernardo Paiva: Thanks Lauren. Thanks for the question. First let's understand quickly the 2016 again I mean three main drivers, The EBITDA the client, that we have I mean the first one is connect to the market here in Brazil so we know the economic activity I mean it was going down for the second is that through the year. If an unemployment rate in the higher rate recorded in years leading to the continuous decline for the income and decline in the industry. So second is that and the first quarter 2016 we have subject to the rate increase in some states putting additional pressure in our top-line and third one is really the temporary impact of the FX in our cash COGs as Ricardo explained. So we have good earnings in 2016 but again we will do the main - last year we would do the same really looking for the long term investing to make sure that our business will be healthy for the long term. So I mean moving to 2017 I think four points are important to highlight. So one, which finds that the main market has [indiscernible] first inflation continues to decelerate. GDP is expected to be flattish after two consecutive years of decline and employment will be increasing trend in the second. And fourth the income is likely to resume roads towards the end of the year. So it's good - better news for 2017 in the market form. Number two I mean the second semester of 2017 the FX impact in all COGs year-over-year, even becoming deflationary driver. And third is high in 2017 and not to be so significant as in 2016 as the most representative as the rate increase to from 19 to 20 to be effective much, much lower than previous year. And fourth I mean have a strong plan. So not repeat my speech but I mean its important investment of our brands the innovation for brands and really make sure that they have the right execution in the market even better than they have now. We are also improving our primary and secondary packaging enhancing the brand's quality perception. So in all that is done shows that the new scope for significant increase the attributes of quality, and modernity and has also increased the consumer interest in purchasing the brand. Premier continues to be big so just remind us reference of premium brands already 30% way below the market share having been growing Budweiser leading the pack with the global more than 20% year-over-year gain in market share in leading year-over-year. So you continue to be there have already explained about the RGBs in the right path and trade so growing in the right path and in the key brand of moments it will continue to be key because it's a way to drive volumes and build. So was a great example have been investing the high for eight years carnival that basically way with the generic created depth again supporting [indiscernible] street and have fun in the responsible way. So to continue to do that you see almost double or more than that and score was there. So it's important to connect the brand with the people we need, it's good for, it's good for the volume as well. And in other forms as well we will increase put the step up in our service level toward the point of sales that's good, that could be even better not to -- we have the ability in great execution that we need. And then we go to the long long-term we continue to be bullish here in Brazil, on Brazil we know that's not the straight line up but every five years or so you have one or two years where things go sideways or backwards. That is the reality of emerging market. But there are few markets in the side and the growth drivers that we have in Brazil. So first demographics population continues to increase by 1.5% every year per capita despite considerable upward social mobility in the last 16 years and the consumption boost by the emerging class, but it is not given, our journey Brazil remains a country of different side one so opportunity for company here. And innovation is inside and different reality, in the country there are lot of opportunities for innovation driven by consumer trend, health and wellness, beer among other so we continue to be bullish in Brazil 2017 seems to be better year and we have strong very, very strong plan to tackle this opportunity.
Lauren Torres: That's very clear. I guess I was just trying to get a sense of there is a lack to meaning the consumer, but the beverage category takes a little bit more time but I think I understand your direction. If I can just ask one other thing then increase that we saw coming into last year and affecting you last year is there more threat toward success we should be thinking about this year?
Ricardo Rittes: Hello this is Ricardo. So just reminding every state has its own model, own tax rate and any state law that increases rate must be published in December 31 of the previous year and since we already have the visibility of the laws approved by the states we know that rate increases forced on 2017, and always more fraction of what we have seen in 2016 and we also know that the meaningful impact is the one that came from 19% to 20% rate to be effective as of March 31 like Bernardo already mentioned. That said I think what we can say also in terms of -- is that the cold beverage industry holds a permanent and constructing dialogue with each state government within showing that what we believe that a lower tax burden on the industry enables a greater potential for volume growth for the investment and as a result allow collection to continue to grow with no pressure inflation job creation investment. That's the model that we believe and I think what we see in terms of evolution of the behavior of some of these state is that migration towards that model that we believe.
Lauren Torres: Okay. Thank you.
Operator: The next question comes from Robert Ottenstein with Evercore. Please go ahead.
Robert Ottenstein: Great. Thank you very much. Couple of questions. First earlier on the year one of your competitors started to peruse some fairly aggressive discounting. Can you give us any kind of update on whether that's continuing, or getting worse and I understand the conditions the competitive position conditions is always tough in Brazil but are you seeing things stabilize on that front?
Bernardo Paiva: Hi Robert, thank you for question. So it's very important to start with question like that but just what's obvious but very important to say that the Brazilian industry has always been very competitive and today is no different. There is no difference either way. What happened in 2016 we believe is not related to what more competitors doing but what is going on with Brazil. And with significant declining consumer possible income. We see this in our own business providing affordability in a profitable way with gaining a lot of in 2016 in spite of gaps that we still have and know a lot about represent 23% of the volumes in supermarket. On the other hand some value brands from competitors also benefited from the scenario sometimes line up possible way which explains some of the market share volatility that we have had. I think what's important to highlight is sequential net revenue per hectoliter increase which someone is in line what we have seen in the previous year which shows I will say that there is normal, if you will in the Brazilian market at the moment. I think that's as far as we can go Robert.
Robert Ottenstein: Understood and then possibly related I don't know if you can comment on it but I guess the [indiscernible] has been down now for a while. I understand it's going to be replaced are you seeing or sensing that competitors are they paying their taxes from what you can tell. Is that having any effect on the competitive dynamics?
Bernardo Paiva: So Robert I think first and foremost I think one of the most important thing is that government recognizes that it's very important for the industry to have an external monitoring system and so I think that has been said time and time again by the government. This new monitoring system needs time to be in place and I think the government is working to get that in place. In the short term you see no changes that for anyone to behave differently would be we have to be like a structural change and I think just of the government and the fact that the government is working to get the external monitor in place. I think it is enough to prevent people from structuring the change in their behavior. I think that is as far as we also can go but again we are - we also believe that's very important external monitoring system for the Brazilian industry.
Robert Ottenstein: Thank you very much. Appreciate it.
Operator: The next question comes from [indiscernible]. Please go ahead.
Unidentified Analyst: Hi, good afternoon everyone. I mean I appreciate the whole conversation about not giving - not tipping off competitors etc, with a symmetric information etc. which is why I am little more confused now about why you stopped giving market share information on quarterly basis last year because obviously your competitors have that and you are not giving anything away because I mean I think when you told that 66.3 for the year based on the estimates I had for market share for earlier in the year it basically brings you to closer to 65 or something like that. And I appreciate your comment about it increasing already in 2017 but wouldn't it be a lot more helpful in the absence of more specific top-line guidance to substitute that with going back to releasing the market share information on a quarterly basis I think would help the market to that have the tools to do what you are not doing with guidance this year. So is it possible for you to tell us now what the first three quarters of the year were in terms of market share for beer Brazil?
Ricardo Rittes: Hi, this is Ricardo. I think first a couple of sources in terms of market share like we have said in the call I think their internal sources, their nuance and there are other source of market share. I think each of those sources they are very important for specific reasons but they are in nature very competitive as well so I think so has a variation of inventories and so the shorter the time that you look the harder it is for you to draw any conclusions. Trends are very important. However trends are very, very important. and we hear you when you say specifically given the fact that is no longer there for you guys to make your projections that it's gets harder for you to read and etc. but the only publicly available source to measure market share in the full-year that is the fact and we as a company we decided of the course of 2016 disclose all year in all the market share. We can go back and outside the call follow-up with you in order for you to give you the more color on how you could build your models with public availability information but in fact that at this point the company has decided not to provide quarterly info on market share.
Bernardo Paiva: The trends that the source show to us are the same. So that's what we can say to you and then again with start of the year I mean the market share increasing in a positive side. So.
Unidentified Analyst: So is it fair to say that in the fourth quarter of 2016 it did below the nine month number?
Bernardo Paiva: Yes we will provide the quarterly market share data.
Unidentified Analyst: Alright. Okay. We will take offline, thanks.
Bernardo Paiva: Thank you.
Operator: The next question comes from Alex Robart with Citi Group. Please go ahead.
Alex Robart: Yes hi, I want to go back to the market share number in Brazil beer and a couple of questions around that. The first one is when we think about the you reaching the 66 point with the 120 basis point loss in 12 months, is it I mean you suggest that this was mostly within the value segment I mean trading down kind of spurge demand in the value segment the response of RGBs 300 M.L. very effective in such during the year you have given us some numbers of how that's built up in the supermarket but is it fair to think about the 120 beeps of loss in beer market share as happening mostly in the value segment or any color that you could give us as to where that loss occurred during the year and the second part of the market share question so when we think about your strategy to rebuild you are pretty open about, that's the key priority this year and it also sounds like it's not going to be as expensive necessarily a big hockey stick molding SG&A you want to be more effective in that and might it be just perhaps possible to think about not going back to the 67 and 69 and thinking about maybe a lower market share range to get margins back quicker and this any color you can give us beyond what you have kind of hinted out or referred to as what do you think can be the pace of rebuilding that beer market share during the year. So a couple of questions around the market share. Thanks very much.
Bernardo Paiva: Thank you for question Alex. So I think you are absolutely right when you have economic situation like the one we have been living in Brazil for the last couple of years what you tend to see not only in our industry but overall in different consumer industries and even like automotive industry whatever is that you have premium and value suffering last proportionally to the main stream in this. As we are disproportional and again the main stream market for a proportionally more important when you compare to some of our competitors of course there is main stream first proportionately more into the environment like you pointed out yourself. And again that's the dynamic we have. But like you also said when we - when you move forward I think this is the segment benefited the most from the way so the single side represents a high up side for a recovery. And like you - like Bernardo said in his speech and like we put in our outlook session to develop that in a moment we are I think the word of cautiously optimistic about 2017 for exactly the same reason that made some of the previous year or like quarters like so difficult for the organization and I don't Bernardo if you again I think. Yes. So again we do not have any follow-up questions but we see there is a lot of questions in the line but Alex even the last one today we will follow up with everyone that is in the line privately because we have already overcome our time by 12:30 minutes already so. If you have a follow-up question Alex we can take from you and then Bernardo is going to do a …
Alex Robart: Yes. No. I mean so when we think about the rebuild right it's just kind of I mean do you think it's possible that it - that this recovery of market share occurs really in function of the economic improving or do you think that there can be something more company specific that can perhaps anticipate that and does it frankly make sense to keep the 67 to 69 range for this year. So that's kind of the follow-up on that.
Bernardo Paiva: So I mean your aggression to do a closing so I think that's why we think that 2017 Brazil specific be a better year. So again first one just to repeat the macro EBITDA and going down for the second half of the year growth towards the end of the year I mean just to give one, two examples on the macro side and this helps our business and helps our program because more and when disposed by income increase the more the benefit of that in our core brands means is the first point that's why we optimist in the industry. The second impacting our cost year-over-year decelerate. So was a big hit last year. And third tax the hikes for 2017 as I explained as Ricardo explained will not be so significant as it was in 2016. So the only exception that's a minor one happened last year. So the market we have two things that I - the facts and the taxes will help as well but the most important one we have a strong plan and that the economy I mean going back again that will help our core brand and we have boosting investment in our core business I have seen that could make a big difference for us. So I repeat we talk about new for the brand packaging enhancement that helps the quality perception of those brands. In terms of core business stepping up our service level as well. It's will be there. The key in selling moments like we have done in carnival that not only but the brand as well a fully integrated market and sales plan. So that will help the core business and you get this positive trend I would say that's thing for disposal income and industry. So premium to be very important portfolio is amazing that we have and preference of premium brand is already 30% above the market share, brand of the market I mean that's Budweiser and it's very relevant. continue to help. not only RGBs but how we can really access I mean improve the shop experience in the stores some e-commerce initiatives as well and in just to repeat one thing the key brand selling moment will continue to be significant. So having said that I mean we think that 2017 we are pretty sure that we have much better year. We are confident in our plan. Our team is very, very inspired by the plan, very engaged on that so that's it. So we really think that first sign of the year January and February of the market share could tell us that this year we are on the right track.
Operator: The conference is now concluded. Thank you for attending today's presentation. You may now disconnect.